Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2016 Allegiant Travel Company Earnings Conference Call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, today's program may be recorded. I would now like to do introduce your host for today's program, Mr. Chris Allen, Investor Relations. Please go ahead.
Christopher Allen - Allegiant Travel Co.: Thank you. Welcome to the Allegiant Travel Company's third quarter 2016 earnings call. With me today are Maury Gallagher, the company's Chairman and Chief Executive Officer; John Redmond, the company's President; Scott Sheldon, our Chief Financial Officer; Jude Bricker, the company's Chief Operating Officer and SVP of Planning and a host of others. Jude will have some brief commentary and then we'll open up for questions. As a reminder, we'll have our Investor Day on Tuesday, November 29 in Las Vegas and we'll be reserving 2017 guidance for that event, rather than on this call. Before we begin, I have to remind listeners that the company's comments today will contain forward-looking statements and they are only predictions and involve risks and uncertainties. Forward-looking statements made today may include, among others, references to future performance and any other comments about our strategic plan. There are many risk factors that could prevent us from achieving our goals and causing the underlying assumptions of these forward-looking statements and our actual results to differ materially from those expressed or implied by our forward-looking statements. These risk factors and others are more fully disclosed in our filings with the Securities and Exchange Commission. Any forward-looking statements are based upon information available to us today. And we are undertaking no obligation to update publicly any forward-looking statements whether as a result of future events, new information or otherwise. The company cautions users of this presentation not to place undue reliance on forward-looking statements, which may be based on assumptions and events that do not materialize. This earnings release, as well as rebroadcast of the call, are available on the company's Investor Relations website at ir.allegiantair.com. With that, I would like to turn it over to Jude.
Jude I. Bricker - Allegiant Travel Co.: Hello, everyone. As in quarters past, we've found it useful to go over some of the main topics that we expect to generate questions on this call. So, I'll start with revenue. Our 3Q results finished on the high side of guide, which we revised up mid-quarter. And that was primarily due to outperformance relative to our expectations of our midsize markets, based on three factors primarily. There's a slight improvement that we've seen in the revenue environment, consistent with all the other carriers that have reported thus far. We continue to see maturity in these markets, which we attribute to increased customer awareness due to the time that we've been in these markets and our marketing efforts there. And finally, the secondary destinations that we serve out of these midsize markets outperformed significantly our expectations going into the quarter. However, generally we've seen continued weakness in economies that depend on oil and gas and those that depend on exchange rates, and that softness was expected in our guide. So, most of the change for 3Q had come from our midsize markets. For 4Q, just to give some color around it, most of this was included in the release. We, as an airline focused so much on Florida, were impacted significantly by Hurricane Matthew; that resulted in the downward guide of about a 0.5 point of TRASM year-over-year. The Columbus Day weekend is the strongest of the October period. And so, it was an out-stated impact for us. We cancelled about 175 flights. And incrementally, we incurred costs as we positioned aircraft out of the path of the storm. A day a week shift for the December holiday season is expected to reduce TRASM by an additional 1 percentage point for the quarter. As compared with previous quarters on the positive side, the growth of our peak season, peak day a week flying will be reflected in total capacity growth for the quarter. And also new market growth, as a percentage of total, will be reduced. Both of these factors will be a positive for unit revenue comps. On other topics, in September, we pulled a bond offering that we went to market with; quite simply, this is because we couldn't find the demand at the pricing that justified that unsecured offering relative to our alternatives. So, you'll see us raise debt during this quarter using other means. On a positive note, we launched the Allegiant World MasterCard on September 1. The program had negligible impact during the third quarter and we're including minimal impact during the fourth quarter, but we have – in customer response and enrollments that vastly exceed our expectations. We hope to give more guidance during our Investor Day in November, as Chris has talked about. Operating stats continue to improve after a tough summer season. This is evident in our third quarter results, and the fact that we outperformed our fixed-fee flying, which reflects our ability to allocate surplus aircraft and crews to charters instead of supporting scheduled service recoveries. As an operating department, we remain focused on the two most critical projects we're currently undergoing, which is the fleet transition to an all Airbus fleet and the pilot contract implementation. In the first half of 2017, we continue to expect sequential improving of year-over-year TRASM results due to a slower rate of growth and the continued maturation of our younger markets. And with that, I'll turn it over to Q&A.
Operator: Certainly. Our first question comes from the line of Joseph DeNardi from Stifel. Your question please.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Yeah. Thanks very much. Maury, could you talk a little bit about the appointment of John? I mean, typically that's a role with somebody with some airline experience. And John, if you want to participate in the response, feel free. So, I mean, Maury, what does that say about the future of the airline, I guess, and what opportunities do you see to create value outside of just the airline business?
Maurice J. Gallagher - Allegiant Travel Co.: Joe, that's a good question. I'm a little less "worried," if you will, in quotes, about airline experience. We've got a couple of non-operations guys doing operations at this point, with Scott and Jude, doing a great job. Good management's good management. The model is pretty well set. There aren't any kind of mysteries as to how to do what we're doing. Having said that, John brings a wealth of knowledge that's been very instrumental to what we've done in that area. In fact, when I asked him to join the board years ago, it was for that very reason having that hospitality background, the hotel, leisure, those types of things. Nothing against airline guys, but they don't quite understand it nearly as well as John does and will help us to go forward. So, I'm excited about John's knowledge base. He has obviously a lot of knowledge, specific knowledge here in Las Vegas. But in general, we're giving him airline 101, he's got a fire hose. He's doing pretty good at this point. But, it's going to be a great addition. He knows the company having been on the board for so long and we're very excited to have him onboard. John?
John T. Redmond - Allegiant Travel Co.: As Maury alluded to, I mean, we have 3,000 airline experts here. And I'm fortunate enough to join an all-star team quite frankly. I think outside of the obvious Maury pointed out was my hospitality background. It just gives the organization or myself the opportunity to look at it in a different way as well. I mean, obviously without having airline background, I don't approach it with an airline mindset. So, everything I've been looking at, you take it from a different viewpoint and it's healthy to question the business, question the process and question the various practices we have. So, we continue to get better and so that's what we've been doing to-date.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. That's great. And then, Lukas, just on the PRASM guide for 4Q – or Jude, I guess. I mean, the capacity growth is slowing quite a bit quarter-over-quarter but RASM guide isn't getting a whole lot better. So, why is that and what gives you confidence that 2017 gets better?
Lukas Johnson - Allegiant Travel Co.: See, if you strip out some of the impact of the hurricane and the impact of the holiday shifting, we have a higher percentage of holiday ASMs than any other thereon. So, certainly, we're more calendar challenged; that's about a 1.5% of TRASM. So the midpoint of our guide would be probably on the 5% mark, which is a couple points better than third quarter. We still got some moving parts and certainly we're seeing quarter trends improving in close-in yields. Some of the other airlines were about the August kind of point was converted inflection point for that, where August and September have improved on the close-in yields side. So, we do see some of that, but it takes a little bit while longer for us because of our longer booking curve to see some of that benefit. So, we're going to continue improve sequentially as you'd mentioned and we hope to see positive unit trends by mid next year.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Thanks. I'll hop back in the queue.
Operator: Thank you. Our next question comes from the line of Hunter Keay from Wolfe Research. Your question please.
Hunter K. Keay - Wolfe Research LLC: Thanks, Joe. So, the CASM, if I'm doing my math right, is that right that the pilot deal is like 7 points of CASM ex in the fourth quarter? And if that's the case, isn't it highly unlikely that your CASM ex will be up less than 7% all of next year assuming high single-digit capacity growth and that's not even factoring in the flight attendants. Is that right?
D. Scott Sheldon - Allegiant Travel Co.: Yeah. Hey, Hunter. Yeah. On an absolute basis, fourth quarter's, call it, $14 million, $15 million. I think the guidance we've given in the past was $45 million run rate, and that was August through July of next year. So, there's going to be a lot more color on obviously 2017, but yeah, the pilot agreement is going to put a lot of pressure on the ex-fuel cost structure.
Hunter K. Keay - Wolfe Research LLC: Okay. So, you'll go through (10:51) that at the Investor Day. Hey, Jude, how do you use TRASM when you plan?
Jude I. Bricker - Allegiant Travel Co.: We plan around the margin. So, typically, when we build a schedule, we're focused on individual flight pairings of roundtrip, that being the smallest unit of capacity allocation. And if that reaches a margin target from which you could extrapolate a TRASM goal, then we schedule a roundtrip, if we don't, we don't.
Hunter K. Keay - Wolfe Research LLC: So, you don't use TRASM to plan?
Jude I. Bricker - Allegiant Travel Co.: No. So, I mean, as you would expect, TRASM could be an input from cost structure not the least of which is the input of fuel price that we expect.
Hunter K. Keay - Wolfe Research LLC: So, why do you talk about it? Why do you guide to it?
Jude I. Bricker - Allegiant Travel Co.: We guide to it because as our bookings become clear, we get more and more confident about what TRASM is going to be. And therefore, we can make that guide. I mean, it's the main thing that investors want to hear from us in our earnings call.
Maurice J. Gallagher - Allegiant Travel Co.: Are you saying, Hunter, we shouldn't guide to it?
Hunter K. Keay - Wolfe Research LLC: Yeah. Don't cater to us. I mean, do what you're going to do. If you don't even use it, then why even include it? I think you guys have more control of the conversation than maybe you realize.
Jude I. Bricker - Allegiant Travel Co.: Okay.
Maurice J. Gallagher - Allegiant Travel Co.: Good point. Well noted.
Hunter K. Keay - Wolfe Research LLC: I didn't mean to proselytize. Yeah, it's ironic. All right. I'll get back in the queue. Thank you.
Jude I. Bricker - Allegiant Travel Co.: Thanks, Hunter.
Operator: Thank you. Our next question comes from the line of Helane Becker from Cowen & Company. Your question please.
Helane Becker - Cowen & Co. LLC: Hi, everybody. Thank you, operator. Hi, everybody. Thank you for the time. So, I see in the press release today that you're starting service in Trenton. But then later this quarter, you're also starting service to Newark. Do I get that right?
Jude I. Bricker - Allegiant Travel Co.: You do have that right, yes. Trenton, we look at – yeah.
Helane Becker - Cowen & Co. LLC: Yeah. Go ahead. I mean the different market, sorry.
Jude I. Bricker - Allegiant Travel Co.: Yeah, exactly. We look at Trenton as a source market. We look at Newark as a destination market. We hope over time that Newark becomes a source market for us. But right now the schedule include markets that are primarily inbound into Newark. Newark was, as you're well aware, it was deslotted and that created an opportunity for us to serve that market. The New York City area being one of the largest leisure destinations that heretofore we haven't had a presence in...
Helane Becker - Cowen & Co. LLC: Right.
Jude I. Bricker - Allegiant Travel Co.: We looked at that opportunity that way. Trenton is a different thesis, which is basically, if you look at all our service around Philadelphia area, Scranton, Allentown, we understand that's a different market but we think I have similar pattern for demand.
Helane Becker - Cowen & Co. LLC: Okay. So, yeah, I mean, I have actually happen to have a lot of friends who live in that area and they fly out of Trenton on Frontier, especially to like Chicago and Florida. So, I mean, is it a similar pattern that you're going after?
Jude I. Bricker - Allegiant Travel Co.: Yes. Absolutely. Not that Chicago bit, but the Florida bit. Yeah.
Helane Becker - Cowen & Co. LLC: But the Florida. Okay. And then, I know I should know this, and I apologize that I don't. Can you just update me on the status of the flight attendants? I feel like they might have rejected the contract, but I might have lost sight of it in all the earnings releases.
Maurice J. Gallagher - Allegiant Travel Co.: Yeah. The flight attendants did reject the tentative agreement that we had in place and we're currently waiting on the NMB to schedule dates for the next mediation session.
Helane Becker - Cowen & Co. LLC: Okay. All right. Well, those are really all my questions. Thanks, guys.
Jude I. Bricker - Allegiant Travel Co.: Thanks, Helane.
Maurice J. Gallagher - Allegiant Travel Co.: Thanks, Helane.
Operator: Thank you. Our next question comes from the line of Duane Pfennigwerth with Evercore ISI. Your question, please.
Duane Pfennigwerth - Evercore Group LLC: Hey, thanks. Maury, wanted to ask you some perspective. I guess, there's a lot of revisionist history about who is responsible for destroying industry pricing last year. Who, in your opinion, is responsible for destroying industry pricing last year? And is it actually getting better? And if not, how should we measure if it's getting better?
Maurice J. Gallagher - Allegiant Travel Co.: Duane, I appreciate you thinking of me of an expert on industry pricing. I read this stuff as much as you do. But I'm not sure I'd use the word destroy and things like that. I think the market did what it normally should do by taking pricing down because people are making more money by filling up more seats with fuel doing what it's doing. So, it's starting to come back now as you would expect. The fuel is going up. I think we've seen fuel jump about $0.25, $0.30 a gallon here in the last couple months. And we're changing our pricing accordingly as the economics change. Capacity will change as well as you go along that route. But clearly the American Spirit program was pretty aggressive, but let's just – I think good economics and the way the industry was structured with all the margins that are unprecedented, those things made sense from where we sit.
Duane Pfennigwerth - Evercore Group LLC: I guess, the revisionist history is that the 4% of the market that wrecked, and those are my words, that wrecked domestic industry pricing last year. Was the 4% of the market, and not the 96% of the market or one of the players, that controlled 85% of the market?
Maurice J. Gallagher - Allegiant Travel Co.: Well, you can go back historically and typically see those seats at the margin if you want to do look at it, but historically, it can be very influential in pricing. When you had 10 carriers in size, one or two of them could certainly drive the majority of the ASMs and the reaction. If we're that powerful, that's more than I expected to be. But perhaps you can look at it that way, but it takes two to tango too. The others didn't have to react.
Duane Pfennigwerth - Evercore Group LLC: Okay. And then just with respect to your CASM guidance, certainly appreciate you guys have a conservative nature. But I think it's been, I don't know, up mid-singles and it winds up, up closer to 1%. Can you just walk us through maybe for the third quarter specifically, how did it get from up 4% to 6% to up 80 bps? What shifted?
D. Scott Sheldon - Allegiant Travel Co.: Yeah. Duane, this is Scott. So, it was really kind of two areas, the first being stock comp expense for the quarter, year-over-year was down. So, a substantial piece of our outstanding equity grants are liability based, so they reset with the decrease in stock price. And so, year-over-year comps was down about $3 million in absolutes. Within the maintenance line item, there were two tails that didn't go through a C-check. One was a 75 which we retired, and one was an MD-80 that was damaged that we chose to retire as well. So, between, really, those two items was the driver between the guidance of up 4% to 6% to where we came in at.
Duane Pfennigwerth - Evercore Group LLC: Okay. Thank you very much.
Maurice J. Gallagher - Allegiant Travel Co.: Thanks, Duane.
Operator: Thank you. Our next question comes from the line of Savi Syth from Raymond James. Your question, please.
Savanthi N. Syth - Raymond James & Associates, Inc.: Hey. Good afternoon, guys. On the cost side in the fourth quarter, I guess I have a little bit of different math than Hunter has, but you got about 6 points from pilot costs and then you have 2 points from the MD-80. And I was wondering what's driving the remaining 2 points to 4 points.
D. Scott Sheldon - Allegiant Travel Co.: Yeah. So, in the release, we did accelerate some depreciation for our MD-80 fleet. That's $3 million, so it took the residual values down. So, that's a component of it. Station expenses, there's pressure there as we go into larger, midsized cities. We have less cost control. We don't have the ability to control cost as well as we do in small cities. So, we're seeing some pressure there. Some timing and some maintenance events, it's a little heavier this fourth quarter of 2016 versus 2015. And then, other, I mean an area that we're seeing a lot of pressure is property taxes as you're starting to fly a more expensive aircraft, you're starting to see the tax obligations go up pretty dramatically from flying a very inexpensive MD-80. So, those are kind of the themes that you would look for in 4Q 2016 over 2015.
Savanthi N. Syth - Raymond James & Associates, Inc.: And if I think of just next year from a, like, maintenance events standpoint, should it be similar to 2016 or higher?
D. Scott Sheldon - Allegiant Travel Co.: It should be lower. The component of our Airbus fleet – heavy maintenance components of our Airbus fleet are capitalized, which is consistent with other ultra low cost carriers. So, what would have rolled through the P&L are now sitting on the balance sheet and are depreciated over a specific time. As we continue to phase out the MD-80 fleet, you're going to see less and less C-check events, less and less engine overhaul events. And so, you should start to see the maintenance line item go down pretty dramatically over the next couple years. So, I think we guided, for instance, this year full year up $105,000 to $110,000 per aircraft. You're going to see that come down pretty dramatically over the next couple years.
Savanthi N. Syth - Raymond James & Associates, Inc.: Helpful. And if I may just switch over to the revenue side, I guess, I'm a little surprised there is not more than – I know you said down 5% at the midpoint, which is an improvement from the third quarter; but you're also moderating capacity quite a bit more. And I think at the same time, as you pointed out, there's more even growth between the peak and off-peak, whereas I think in the third quarter and before, there was a lot more growth in the off-peak versus the peak. So, I'm surprised that maybe the year-over-year unit revenue declines aren't moderating a little bit faster. And I just wonder if you can comment on that.
Jude I. Bricker - Allegiant Travel Co.: I think from where we sit, we were kind of excited about these results with the capacity guide that we have relative to a 5% down in unit revenue. I looked at it differently; thought that was a pretty positive result, and we should continue to see that sequentially improve into the first and second quarters of next year. So, I have trouble answering the question because I just look at it from a different perspective.
Savanthi N. Syth - Raymond James & Associates, Inc.: And then, is there any point where – and so, you're thinking kind of mid-next year for turning positive. Is that right?
Jude I. Bricker - Allegiant Travel Co.: Yeah, it's difficult for us to predict that far out accurately, but second quarter would be where that is possible to happen. Yes.
Savanthi N. Syth - Raymond James & Associates, Inc.: Got it. All right. Thanks so much.
Jude I. Bricker - Allegiant Travel Co.: Yes.
Operator: Thank you. Our next question comes from the line of Rajeev Lalwani from Morgan Stanley. Your question please.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Hi. Thanks for the time. Jude, just to pick up on the last question, what drives you to get to positive RASM in the second quarter of next year? Is it that you're bringing capacity in, or is it comps, or is it something else?
Jude I. Bricker - Allegiant Travel Co.: Primarily, it's going to be growth rate. And the negative influence will be that we will hold down summer peak flying days in order to improve operational performance. And then on the upside, we're going to see less (22:50) growth in the second quarter of 2017 certainly than what we had in the second quarter of 2016, and we're going to circle our comps. So, I think we're looking pretty positive – where we are today from a unit revenue perspective. Second quarter is where we think we might see zero.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Okay. And then in terms of competition from other ULCCs. Can you take about how you're expecting that to ramp as we look into next year, if at all?
Jude I. Bricker - Allegiant Travel Co.: Well, I can't actually. I mean, we react as we see things happen and we haven't seen many announcements really since Akron that would impact us significantly. We continue to focus on our franchise model out of midsized markets, which is based on low frequency service to some of the secondary destinations that have been so profitable for us over the summer period. And I don't think there's going to be any encouragement into those markets. So, we feel fairly good about where we are. I'm going to turn on to Lukas and see if he wants to provide any other color.
Lukas Johnson - Allegiant Travel Co.: Yeah. Just one other comment on the second quarter that Jude had mentioned. The Easter shift and spring break shift will be certainly calendar beneficial to us versus any other airline, just the way that our network is structured. And then, again, like, kind of reiterating what Jude said, we're going to wait to see what announcements available kind of make changes to our network accordingly based on those. But until then, no deviation from what we're looking to grow into.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Thank you, gentlemen.
Maurice J. Gallagher - Allegiant Travel Co.: Thank you.
Operator: Thank you. Our next question comes from the line of Mike Linenberg from Deutsche Bank. Your question please.
Michael Linenberg - Deutsche Bank Securities, Inc.: Yeah. Hey, maybe this is a question for Lukas. Just kind of the thoughts behind you were in Akron, then you moved out. I don't know if Spirit moving in drove that, but now you've sort of camped or set up shop in Cleveland. Just kind of the thoughts about the market and the dynamic there, kind of what drove what.
Jude I. Bricker - Allegiant Travel Co.: Yeah. We've been in Akron for about a year-and-a-half now and we found that the majority of our passengers are coming from the Cleveland Hopkins Airport side. Looking at the competitive landscape of both airports, the amount of seats in each destination that we're serving, it made more sense for us to move to the primary. And we had enough scale that the cost structures were beneficial for us to move to the primary. So, very easy decision for us. Certainly, our secondary cities should do better out of the primary airport. And we feel pretty confident about the decision with or without the competitive capacity added into Akron.
Lukas Johnson - Allegiant Travel Co.: Yeah. Mike, I just want to make the point that we added a bunch of new markets to that franchise when we picked it up out of Akron and put it in Cleveland that are non-competitive. So, we feel like the secondary market franchise, the total franchise in that region is better supported out of the Hawkins Airport.
Michael Linenberg - Deutsche Bank Securities, Inc.: Okay, great. And then just a second question, thoughts on this, I guess, advanced Notice of Proposed Rulemaking. I mean, it seems like it's a follow-on from something that was put out by the DOT in 2014. But, what I'm really focused on is, I guess, the government having some control over where you can distribute your product, I mean that seems very much like the end of at least some element of deregulation. I mean, you guys are basically a closed system. How would the government tell you where to put your wares? Which storefronts to put your wares in? It just doesn't seem to make any sense. I'm just curious of your thoughts on that and how the government would even implement that. It just seems like a nonstarter, but anything that you can add would be great.
Maurice J. Gallagher - Allegiant Travel Co.: I think, Mike, you hit a pretty interesting question. It's always been hanging out there with the OTAs and the like and passing cost through and having to have this kind of vertical system that all the numbers have to move all the way through to the end person, which is a monumental task given the antiquity of a lot of the systems and the volatility of changes that people make and product enhancements. It's going to be an interesting dynamic to, one, just to come up with a rule set to implement it, and two, then how do you enforce it. And to your point, we're isolated. We've stayed away from those things albeit we use Kayak a little bit. And not to say we'd ever do that, but it makes you think long and hard before you kind of venture down that road if you're going to have all these rules, but I think you're spot on. The government, they just want to control this stuff and deregulate or re-regulate, it seems.
Michael Linenberg - Deutsche Bank Securities, Inc.: I mean, Maury, isn't the unintended consequence that although, while this is under the sort of auspices of spurring competition, doesn't this ultimately result in higher cost to consumers? Like, why would this be good? Especially for somebody like yourselves and other carriers that are trying to keep distribution costs as low as possible to be able to offer the lowest possible fares. It just doesn't – I don't...
Maurice J. Gallagher - Allegiant Travel Co.: Well, I think the irony of ironies is that coming from the 1980s when they were regulating the Sabres and the Apollos and tell them what screens they had to have and it's all about information for. There's never been a greater level of information available to a consumer in the history of travel. And to think that consumers aren't savvy enough to go find out all the information they need is pretty ironic on their part. But this is the same route that we felt they had to put 1934 telephone laws on the Internet. So, it is what it is.
Michael Linenberg - Deutsche Bank Securities, Inc.: All right. So, we just stay tuned. Okay. Great. Thank you.
Operator: Thank you. Our next question comes from the line of Julie Yates from Credit Suisse. Your question please.
Parker Kim - Credit Suisse Securities (USA) LLC (Broker): Hey, everyone. It's Parker Kim on for Julie. You guys noted that midsized markets ramp faster than expected, but as a result of all the industry capacity cuts we've seen in Q3, did you see any sort of less aggressive flow pricing, less migration of your customers to further-out airports in your catchment areas, or better capacity on the routes you flew getting better?
Jude I. Bricker - Allegiant Travel Co.: I haven't...
Lukas Johnson - Allegiant Travel Co.: Yeah. Specifically, what we can say is that pricing through the quarter improved, again similar to what other airline saw. If you looked at pricing within, say, the 7-day or 14-day window from when a flight departs, kind of the rough of that pricing, the yield there, was in the June, July period. Once we hit the fall, it starts to improving into the back half log. September actually raised up our guide. And our expectation is that going through the fourth quarter, that'll continue to improve. We're a little bit of a hard read through the rest of the industry given that's a lot of indirectness. But our impression is that that slow pricing is improving certainly within the last two weeks or three weeks of a flight.
Jude I. Bricker - Allegiant Travel Co.: Yeah. I still attribute most of our outperformance relative to the expectation in the back half of the third quarter due to tactical capacity changes that we implemented based on the experience of the previous year. I think it's a lesser impact, lesser read-through, as Lukas termed it, to the rest of the industry for pricing purposes. I think this is really just about us having a better schedule for revenue.
Parker Kim - Credit Suisse Securities (USA) LLC (Broker): Got it. And, John, so, you bring a lot of expertise from the hotel and the casino side to Allegiant. Where do you see the biggest missed opportunity on either travel packages or Allegiant's relationships with hotels? What do you think are the low-hanging fruit there?
Jude I. Bricker - Allegiant Travel Co.: I'll resemble that remark. These aren't missed opportunities, they enhanced our efforts, but go ahead.
John T. Redmond - Allegiant Travel Co.: I mean, there's a multitude of issues we're looking at there. Probably a little bit premature at this point in time to definitively say whether or not they're genuinely opportunities until we've had a further time to flesh them out. But there's a lot of different issues we're looking at. And I think that there is, to use your term, some potential for low-hanging fruit. But again, that's always things you got to run through the traps a little bit more before you'd feel pretty comfortable about definitively saying that there's some upside there. Maybe by the Investor Day, we might have a little bit more clarity in that regard and we can share some of that with you.
Parker Kim - Credit Suisse Securities (USA) LLC (Broker): Got it. That's it for me. Thanks.
Operator: Thank you. Our next question comes from the line of Dan McKenzie from Buckingham Research. Your question please.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Yeah. Thanks, guys. John, I guess, just following up on that last question. Assuming there is some low-hanging fruit, how are you thinking about the compatibility of IT and the ability to implement any potential initiatives? If you do find low-hanging fruit, is it something that would take potentially six months, one month, a year to initiate? Or how do we think about that part of the equation?
John T. Redmond - Allegiant Travel Co.: Well, that's why, frankly, it takes a little bit more time. So we're not overstating or understating anything that we think is an opportunity to see just what type of initiative, if any, would have to be undertaken in order to take advantage of those opportunities. I think hopefully by that November timeframe, again, if there's some clarity I can give you, I will in terms of timing because that's obviously the most beneficial thing we can provide, not only what the upside is but when. So, hopefully by that time, we'll be able to do that. Obviously, if I can't, I'll tell you that but there are a lot of issues we're taking a look at right now, and I think it's encouraging.
Dan J. McKenzie - The Buckingham Research Group, Inc.: But at least for purposes of our outlook, I guess, Jude, just going back to you, safe to say the kind of the revenue commentary you shared thus far isn't factoring in any of these additional potential opportunities. Is that a fair statement?
Jude I. Bricker - Allegiant Travel Co.: That's upside. You're right, Dan.
Maurice J. Gallagher - Allegiant Travel Co.: Yeah.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Okay. And then, I guess, either Jude or Lukas, just going back to the earlier question on competitive capacity, I think the competitive dynamic historically for Allegiant has been about maybe 20% of the routes. And, just wondering where are we in the fourth quarter exactly? And then philosophically, is there some reason why that might potentially change next year?
Jude I. Bricker - Allegiant Travel Co.: Well, let me just affirm that 20% of competitive routes relative to our total route count. Lukas, you have any comment on the forward-looking?
Lukas Johnson - Allegiant Travel Co.: Yeah. Certainly, as we continue to build out our presence in a lot of these larger markets for us, we'll be continuing evaluating more kind of non-competitive routes as those tend to be the next best opportunities. To get a route or midsized market established, we'll typically have a bit of overlap into the major destinations. We have that going into a lot of these midsized markets. So, it's not a surprise there. We can only control where we're growing into. So, I don't see us deviating too much from that in terms of what we add, and we'll take additional competition as it comes.
Jude I. Bricker - Allegiant Travel Co.: Yeah. I think the growth rates to watch are growth rates in some of our major destination markets; Vegas and Orlando had seen outsized growth relative to the domestic market. And that pushed a lot of our growth, as you would imagine. Capacity has been deployed into less competitive markets that we would term secondary like Destin, Savannah, Myrtle, Baltimore, et cetera.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Okay. Very good. Thanks for the time, you guys.
Operator: Thank you. Our next question is a follow-up from the line of Joseph DeNardi from Stifel.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Question for Doxey or Jude. Andrew Levy on United's call was talking about bringing in some used aircraft and suggested that there might be more coming in as he reviews their order book and fleet needs. I'm just wondering if you see that as a risk to your ability to source used aircraft, if an airline of that size gets a lot more active in the used market, since he may know the playbook, so to speak.
Jude I. Bricker - Allegiant Travel Co.: We know that guy.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Yeah.
Jude I. Bricker - Allegiant Travel Co.: Now, look, we have had great success sourcing used aircraft during this year where, in contrast to what the leasing companies and OEMs have said about the used market for aircraft. And from what we see right now, there's still great opportunity there for us to go out. We hope to announce something that we're working on right now at the end of the fourth quarter or around there. The real focus is to try to firm up the total inductions required to support growth while we transition the fleet over to an all Airbus operation. Tom's a little closer to the market now. Any other color?
Tom Doxey - Allegiant Travel Co.: No. I mean, for me, I don't think that we're seeing anything in the market that would suggest that we'll have difficulty getting to the goal of being at 100 aircraft by the end of the decade based on the fleet plans that you see in our management presentation. And we've been successful so far this year, as you'd mentioned, the potential to add some additional transactions in the next several months. So, I don't see it as an issue that would keep us from getting where we need to be.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. Okay. And then, Maury, I know at least some of the investors I talk to, they get a little bit more nervous when you and Spirit start to bump up against each other a little bit more. And I'm just wondering if you think kind of at a high level at some point there needs to be more consolidation in the ULCC space. And what would the catalyst be for that in your view?
Maurice J. Gallagher - Allegiant Travel Co.: Consolidation has gone on in the business now for a while. We've got, obviously, major changes at the top end of the spectrum. If the numbers start driving those kinds of decisions, people look at that type of thing. At this point, though, we are certainly not looking at it on our side. I think the other prior issue for us is, we don't fit real well with the Spirit and Frontier as an example, are the usual suspects. But we have a very like kind business model in a lot of ways with how we price and our approach to things, certainly with a lower revenue customer. But hard to say what the catalyst will be. I think there's certainly growth left for all those suspects at this point independently. And over time, maybe there's something that happens. But nothing that's going on that I'm aware of at this point.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Thanks, Maury.
Maurice J. Gallagher - Allegiant Travel Co.: Sure.
Operator: Thank you. Our next question is a follow-up from the line of Duane Pfennigwerth from Evercore ISI. Your question, please.
Duane Pfennigwerth - Evercore Group LLC: Thanks. Maury, you passed on being an industry expert on pricing. Maybe I'll try Lukas here. Just in terms of the improvement, look, I have no issue with your guidance. Like, your revenue guidance is right down the middle and you guys are still very, very isolated. I think in many respects you control your own destiny with your own capacity growth, so you could sort of solve for whatever price you wanted. So this is again more from an industry perspective. It seems to me that people are making a mountain out of a molehill with respect to ULCCs tripping all over each other. One, what would be a bigger influence on your destiny in 2017, for example, ULCC growth, or like a return of garbage walk-up fares day of travel for $60, $70?
Lukas Johnson - Allegiant Travel Co.: Yeah. I'd tend to think the return of garbage fares would have more impact. Certainly, we talked about the last few quarters that we had some drive away traffic as close-in fares start getting back to the levels they should be, considering you can't stimulate too much in the last week or two. I think our yields have improved as have others. And I think that's where the industry needs to get to, to start seeing positive unit revenues for all carriers. So, I think that has a bigger, significantly bigger impact than a couple percent of ASM overlap between some carriers.
Duane Pfennigwerth - Evercore Group LLC: I agree. And then with respect to those garbage walk-up fares, are they completely gone? And is pricing really getting better? Or is this just a function of easier compares?
Lukas Johnson - Allegiant Travel Co.: It's not completely gone, but it's improved. Certainly, there's still some aggressive fares out there still. So, to me, that's upside still for next year.
Duane Pfennigwerth - Evercore Group LLC: Thanks very much.
Maurice J. Gallagher - Allegiant Travel Co.: Thanks, Duane.
Operator: Thank you. Our next question is a follow up from the line of Savi Syth from Raymond James. Your question please.
Savanthi N. Syth - Raymond James & Associates, Inc.: Hey. I just have two quick questions. One is on the December holiday timing aspect, do you expect to recapture most of that drag that you're identifying for 4Q? And then also just on the ancillary side, as you retire those or you're going to take out the 757s, how should we think about those that trend in the ancillary per pass next year?
Lukas Johnson - Allegiant Travel Co.: So, on the first question, the issue is around the days of week that holidays fall on.
Savanthi N. Syth - Raymond James & Associates, Inc.: Yeah.
Lukas Johnson - Allegiant Travel Co.: So, we don't expect much recapture. We just expect to be shorter overall season that happens in December. I should point out that as we are such a carrier-focused on volatile demand patterns that we have a much higher dependence on that winter holiday season of Christmas and New Years than other carriers because we peak up for it. So, it'll be a shorter period for us to optimize around and there'll be some uptick probably, but it'll be very minor. On the second question, the 757 flying to Hawaii is such a small portion of what we do now that it'll be a very small factor in ancillary unit revenue per passenger going forward. In fact, I don't know, but it may even be positive because so much of that capacity now is deployed in the Lower 48 that the large gauge of it tends to depress fares and, therefore, also ancillary fares as well. So, you're right. Hawaii is the highest yielding ancillary market that we have, but it's just such a small thing of what we do now that it won't have to be that impactful going forward.
Savanthi N. Syth - Raymond James & Associates, Inc.: Got it. All right. Thank you.
Operator: Thank you. Our next question is a follow-up from the line of Hunter Keay from Wolfe Research.
Hunter K. Keay - Wolfe Research LLC: Hi. Yes. Thanks. I have two more as well. I think as you think about the fleet transition as well, can you maybe help us think about, maybe this is a question for Tom as well, $0.08 per gallon in the model? I mean, you're going to have significantly fewer MD-80s in 2018 and none at the end of 2019. Is there a number that we should think about in terms of absolute ASMs per gallon, especially given the 57s and Hawaii and all that noise, we think about modeling out over the next two years to three years, maybe where you can be in more of a steady run rate basis once you're an all A320 family?
Jude I. Bricker - Allegiant Travel Co.: Sure. Yeah. We're trying to pull that number for you now.
Tom Doxey - Allegiant Travel Co.: All right. Just got it. I mean, I think what you're seeing now is kind of close to 2% ASM per gallon increases year-over-year. You really don't see a spike until basically 2018. You start to really get through the glut of the retirements. And so, look at that sort of 2% profile up until then.
Hunter K. Keay - Wolfe Research LLC: So you think like 80 is too aggressive of a number to get to two years down the road?
Jude I. Bricker - Allegiant Travel Co.: I think at the top end, you're kind of mid-80s...
Hunter K. Keay - Wolfe Research LLC: Mid-80s, wow. Okay, great. Good. And then my second question, Jude, I think you said the credit card is vastly exceeding your expectations. I don't think I've ever heard an airline say an initiative is not exceeding their expectations. You maybe want to put some numbers around that. I know it's very early, but maybe help us think about – I was intrigued by use of the word vastly, let's put it that way. So, if you maybe want to put a little color around that knowing that it's early.
Jude I. Bricker - Allegiant Travel Co.: Last minute add, Hunter. I think, look...
Hunter K. Keay - Wolfe Research LLC: Yeah.
Jude I. Bricker - Allegiant Travel Co.: Your question then would be, was our forecast too much sandbag. And we don't know. So, what we did as you would imagine is, we launched a credit card and then we reached out to all our passengers, letting them know that it was available. And so, the original bump that we saw in sign-ups, we don't know if we can attribute that to us essentially fishing in our own pond or a trend that's going to continue on into the future. We really only have about a month's experience as we did a soft launch in September 1. In mid-September, we reached out to all our customers in our database, making them aware of the offerings. So, it's really too early to tell whether or not we're seeing a long-term trend or just the effects of a launch.
Hunter K. Keay - Wolfe Research LLC: Okay. Thanks, Jude.
Jude I. Bricker - Allegiant Travel Co.: Yeah.
Operator: Thank you. Our next question is a follow-up from the line of Dan McKenzie from Buckingham Research.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Hey. Thanks for the time here again. Maury, I know you're managing the airline for growth, but what are the key financial metrics that you're telling your team to solve for? Is it pre-tax margins? Is it growth in pre-tax earnings? And then just how should we think about those goals as we look ahead to next year? And then, I guess, just related to that, how do we think about capital returns to shareholders from here as well?
Maurice J. Gallagher - Allegiant Travel Co.: We're entering kind of a unique phase for us, Dan, as we transition to the Airbus. While growth is still going to be part of the formula, we can't keep up to the levels we were at in the past years. So, we'll be pulling that back, and we really want to make sure that this transition happens, so that will take top priority operation. We need to get that in place. So, certainly next year will probably be the hardest year for this stuff while we take delivery of the airplanes, train our crews. We got a lot of crew members we have to transition. So, those are one-time events that we'll have to take in mind or keep in mind, but growth is part of our formula. I think we can moderate it. We don't certainly have to grow at 20%, 8% to 10% number can work for us over time. As we get bigger, it's more meaningful, I might add, on the numbers. But with regard to returns to shareholders, we're going to still continue that. One of the benefits of our model over the years is we've created excellent returns. Return on capital is 25% here in the last year, last 12 months. So, we're still seeing exceptional numbers there. As far as specific returns, what's our annual dividend now? $20?
Unknown Speaker: $2.80.
Maurice J. Gallagher - Allegiant Travel Co.: $2.80 a share. So, what's that? That's $50 million, something like that. So, yeah, we're going to continue that. In share buybacks, we backed off a little bit on that as we've gotten into some heavier capital requirements, but those will be available as well.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Understood. Then, I guess, if I could just clarify, I understand the growth just kind of dialing back to kind of high single digits, 8% to 10% or so. In terms of the financial metrics, Maury, are the financial metrics that you specifically are targeting either with operating margins or pre-tax margins or just in general with the pre-tax growth?
Maurice J. Gallagher - Allegiant Travel Co.: Well, I think, personally, I just want to optimize my operating margins, I'll start there. You mean the combination of revenue and expenses give me that best operating margin in the context of certainly some of the growth that we have to take into account, but as Jude said earlier, we don't focus on a TRASM number or they go through a very detailed review of every market based on expectations of pricing that's available, capacity that we have and we plan accordingly. And that capacity can be added and we got new markets that we have to take into account, which obviously aren't strong as existing markets. All that blends down to a formula of the amount of capacity. And we plan airplanes around that as well, but I'm not saying I want to – I'd love to have a 25% operating, Jude, 25% operating?
Jude I. Bricker - Allegiant Travel Co.: Yes, sir.
Maurice J. Gallagher - Allegiant Travel Co.: Yeah. Those are big rate, but just holding my breath that we're going to do that for the foreseeable future.
Dan J. McKenzie - The Buckingham Research Group, Inc.: I understand. Okay. And thanks for the time again you guys.
Maurice J. Gallagher - Allegiant Travel Co.: Sure.
Operator: Thank you. Our next question is a follow up from the line of Joseph DeNardi from Stifel.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Sorry, just two quick ones. Lukas, I think you mentioned that a non-competitive route is down to about 80% of the network. I think at the end of the year it was like 85%. And I thought the plan was, you guys thought you could hold it there. Were you just rounding down? Or is that where you're going to end up at the end of the year, is about 80%?
Lukas Johnson - Allegiant Travel Co.: Just rounding down. We're still at 85%.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Got it. And then, Scott, just on the 85 ASMs per gallon, like you think that's what it'll be by like the end of 2018 or is that beyond that?
D. Scott Sheldon - Allegiant Travel Co.: Beyond that, kind of 2020, 2021.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Got you. Okay. Thanks.
Operator: Thank you. And this does conclude the question-and-answer session of today's program. I'd like to hand the program back to Maury Gallagher for any further remarks.
Maurice J. Gallagher - Allegiant Travel Co.: Thank you all very much. Appreciate your interest and your time. I will see you in the end of the next quarter. Thank you. Have a good day.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.